Martina Borger: Good afternoon, ladies and gentlemen, and welcome to Bilfinger's Fourth Quarter and Full Year 2024 Results Call. My name is Martina Borger, and I'm here together with our Group CEO, Thomas Schulz; and our Group CFO, Matti Jakel. We will start with a presentation today and highlight the quarter and our financials. After that we will open up for questions. [Operator Instructions] During the presentation, all participants will be in the listen-only mode. The event will be recorded. And now over to you, Thomas.
Thomas Schulz: Thank you, Martina. Hello everybody. Yes, a warm welcome to all of you for our presentation for the full year 2024, the quarter four '24 as well as the outlook for '25. As you know, we start with our highlights. We had quite a successful year for the Bilfinger Group. We achieved all financial targets. Orders received 13%, up; revenue 12%, up; EBITA from 4.3% to 5.2%, improved; and the cash flow from €122 million to €189 million, very important is that, the sixth quarter in a row positive. We have an earnings per share on the full year of €4.79 and we propose as a dividend €2.40 per - for the year 2024. When we look into the markets, we see an overall stable demand for our products in volatile markets. The outlook for '25 is €5.1 billion to €5.7 billion on the revenue and €5.2 billion to €5.8 billion in the EBITDA. We will operate a new Capital Markets Day on the 2nd of December this year where we will announce new midterm targets up to the year 2030. As I said on the highlights, targets for 2024 achieved. The revenue, what you see on the left side, we had a guidance €4.8 billion to €5.2 billion and we made a little bit more than €5 billion, which is an increase organically of 2% and reported of 12% versus '23. The EBITA improved 39% and actually the margin from 4.3% to 5.2%, which is quite a good improvement. The outlook for the year we had on 4.8% to 5.2%. The free cash flow, actually came out higher than we were guiding for, the guidance was €125 million to €165 million, and we came out €189 million, which is a 55% improvement, adjusted actually an 88% improvement. So the year 2024 was again for the Bilfinger Group, quite a successful year. Before we go further into financial figures, some about the market as well sustainability and other things. First to the sustainability, our ESG key figures. Important for us, important for our clients, important for our suppliers too is of course the occupational safety. And that is what you find on that quite lively slide in the mid. And you see here two indicators. One is the TRIF and the other one is the LTIF. On the TRIF, we had a very positive development to a 1.12 coming from a 1.19, but on the LTIF we had a deterioration, negative trend. And that is where we put all efforts in it that we can present in the year 2026 for '25 a significant better result. Important based on the efficiency program and the transformation what we do with the company, we would like to highlight the spend for learning and development. We promised to do more than 0.5% of our revenue, and in 2024 we achieved that. Last but not least on that slide, about the environment on the left side. In '24, first time we were able to report on Scope 3 up and downstream for the greenhouse gas emissions. Out of that we come to our what we think quite famous, quite famous sustainable business classification. As you know, Brussels forgot the mechanical industrial service providers. So we implemented in beginning of '23 our own classification. What you know, when you go into an electronic store and looking for - example for a fridge. A is the most green classification and D is the least green or non-green. And you see that we - despite quite a significant improvement in the revenue, the percentage split is actually not moving really different than in 2023. That's mainly based on the acquisition what we did in 2024, but when you look through all the four classes, the A, B, C, D, you have on the right side, some examples what we announced as orders to get a link into it. A for us is clear green sustainable, 100% improvement. B is what we call indirect improvement and C are very indirect improvements. And D is, of course activities where we can't claim any sustainability improvement at all. Out of that we go into the industry, into the market development. We are mainly in chemical and petrochems, oil and gas, energy, as well as pharma and biopharma. All the four industries develop actually differently. You see that on the left side with the production index. The production index is indexed to the base year 2019 as the last pre-Corona year. And it's easy to see that despite pharma and biopharma, which enjoys a significant improvement in production index since 2019, all the other three industries are hardly really moving up in that. And of course there are per industry different arguments. In the chemical and petrochem industry, we see significant regional differences. We see investments in the Middle East, in North America, parts of Europe, and especially in Germany, actually the opposite. But the outsourcing potential, the willingness of the client to give industrial service to providers like us is actually on a very good level. Our demand in that industry, we would call that stable. The oil and gas, we see based on several reasons. An increase in global oil production and the outsourcing potential. The willingness of our customers to do more of the asset management, maintenance and so on with us is quite good. We see the demand in that industry growing and positive. Then to the energy. Energy, we see increasing demand, but complete different setup. Alone in Europe with the nuclear boom, what we see all over, despite of course Germany, we have in that sector a positive outsourcing potential and we see a positive market development. Last but not least is pharmaceutical. It's our smallest industry where we are in around 10%. Outsourcing potential great. And the demand is great. What is the driver? It's actually the localization of supply and innovation of new products faster to the market. Both are the main drivers in that industry. Out of that, we look into some selected orders to see - that you can see what we mean when we talk about these different industries. The first is with Gasunie in the Netherlands, quite a good customer of us. With the acquisition of the former Fluor Stork, we were able to get a 10 years partnership with Gasunie. So the M&A enabled us to have a bigger contract, a bigger footprint. Quite a good work. Then in the middle part of the slide you see from Norway, INEOS. Another extension of a long-term contract in engineering, fabrication, maintenance, and management services, which proves that we over decades can add value, efficiency, improvement, sustainability improvement to our clients. On the right side it's about pharma and biopharma in Austria. Here with a pharmaceutical company we do the engineering, procurement, the fabrication and other stuff to enable the client to produce better and more efficient. If you look through all the three contracts, you see there's a lot of commonality and that's a big part of our strength. 80% of the business what we do, no matter which country, no matter which industry is more or less the same. Out of that, into innovation, because that's a big driver for our competitiveness. Today I would like to introduce the so called Bilfinger Service Effectiveness Analyzer. It's of course a digital tool for rotating equipment like turbines pump, where we are able to predict, to calculate before things happen for the client, what is the energy consumption, what is the CO2 footprint, what to do to improve it and which effect it has on the whole plant as well as on the whole efficiency. This unique calculation tool on a digital format actually enables us to offer to the client up to more than 5% plant availability, improvement, more than 25% efficiency improvement and more than 15% CO2 reduction. Out of that we go into the figures. Our well-known opportunity pipeline is on the top of that page and it's over two years, month by month. And the highlighted areas is actually from the left to the right the quarter four in 2022, then the quarter four in 2023 and then the quarter four last year in '24 blue color. When you look the figures it is indexed to the October on the 100 and you see that we had in last year or in the year 2023 in the fourth quarter, an average 110, where we can bid on is actually the sum of, I call it the cake from the clients where we can bid on. And you see that the development over the year had actually peaked into May and then was going a little bit down and at the end coming back to 107 in average. So the market has more or less a side movement slightly up as we say stable market environment. If you look into the orders received, you see how it develops from '22 fourth quarter, '23 fourth quarter to quarter four in 2024 and there you see an increase of 8% reported and minus 5%. These kind of fluctuations quarter on quarter is absolutely normal for us. We call it the seasonality in the year. Very positive we think is of course the order backlog development from '22 to '23 it was a 5% organic growth and from '23 to '24 it was a 7% and with the M&A actually a reported 22% improvement on the order backlog. Now to the further figures, to my colleague, Matti, as the Group CFO.
Matti Jakel: Thomas, thank you very much. Good afternoon ladies and gentlemen. Some more details on the fourth quarter performance. Overall I would say quarter four was a fairly good quarter and very much in line with the full year development. As you can see from the numbers here. EBITA throughout the year very good, ending up with 5.5% compared to 5.8% in the quarter four for 2023. So overall a very solid EBITA margin progression and development. Revenue up by 14% in total 1% organically, with a book to bill of almost 1.0. So also continuing our very good trend line. Free cash flow, this has been mentioned a number of times, we had four positive quarters this year plus two quarters in '26 - in '23 makes for six consecutive quarters with positive free cash flow for the Bilfinger group. We're really seeing that the working capital management efforts are bearing fruit. We have a lower intra-year working capital and consequently the year-end quarter four numbers are lower than in the prior year, as we have communicated before. Take a bit of a look into the segments, and we start off with the segment. Europe, quarter four performance, orders received in quite difficult or challenging market environment. I would say 5% organically and together with the Stork acquisition plus 25% over quarter four 2023. Again a very good achievement and a testament to the strength of the Bilfinger Group. We do see a bit of a mixed picture across regions and industries. As Thomas said, very typical seasonality throughout the year. Importantly, we have achieved some contract renewals in the chemicals and petrochemicals industry. And as everybody knows, and as it's written in the center here, the industry has its challenges, particularly in Germany. And in that respect, again, a success for the Bilfinger Group. Revenue, minus 1% organically, but in total, plus 17% organic growth, particularly in pharma and biopharma, energy, and oil and gas, in line with the market development. EBITA margin consistently above 6% for the last three quarters. So again, stabilization throughout the year, very good margin recognition and a very good performance by our European colleagues. Over to International. The revenue is up by 6% organically, 10% in total. We do see, or we did see, revenue growth in both regions, Middle East and North America, and across all industries. Particularly in the Middle East, we have seen new contracts from the energy industry, something that has really taken off in 2024. EBITA margin is down from 5.4% to 1.6% in the fourth quarter. We have taken a little bit more risk provisioning for the project business that we have discontinued in North America. We're on the very last project that is being completed right now and that took a bit of a hit there. Orders received minus 22%. While we have seen growth in the Middle East from new clients rollovers of frame contracts, what we have seen in the United States, it's nothing unusual. Every time a new administration moves in, decisions are being slowed down until the new administration takes its footing. And consequently, the orders received here were a bit lower than what we had seen in 2023. Finally, segment technologies. I start off with EBITA margin, progressive expansion as a result of product mix, operational excellence and efficiency program. So you can really see our strategy at work here. 8.0% in the fourth quarter, up from 6.3% in fourth quarter 2023. On the order intake, while it shows minus 30% over the fourth quarter 2023, this is expected. It's an expected decrease year-over-year compared to the quarter three and quarter two, where we had very strong order intake. So that's normal in this business. I think it's worthwhile pointing out that the backlog over the course of the year grew by 14%. So we're working off a very good backlog in Technologies into 2025. Back to the group. Again, in total for the year, orders received and revenue up by 13% and 12%, including the acquisition 2% for each organically; orders received at €5.3 billion, revenue at €5.04 billion for 2024, a very solid performance by the Bilfinger Group. And the book to bill of 1.06 also indicates further growth as we move into 2025. Profitability, I mentioned it before. €264 million in EBITA, equal 5.2%, EBITA margin up by 39% over 2023. As a result of our margin improvement in gross profit, 60 basis points from 10.3% to 10.9%, and an improvement of the SG&A ratio 6.6% to 6.3% despite the fact that the acquisition came in at a much higher cost rate. So again, a proof point that the efficiency program and our strict cost discipline is turning out the results that we have indicated and expected. A quick look at the segments for the full year. So revenue in Europe €3.5 billion up 1%; revenue in International up 3% to €710 million; and revenue in technologies up 5% to €732 million. If we look at the book-to-bill 1.06 for Europe, almost 1.0 for International and 1.10 for technologies, again showing that Bilfinger is on a growth path. And if we look at the EBITA margin, with the exception of International, we are also looking at sustainable profitable growth. Net profit and earnings per share, when your EBITA increases as much as it did for Bilfinger, you would expect that your net earnings go up. However, last year we had a positive impact from the recognition of deferred tax asset of about €61 million. So that was considered last year and hence the net profit did not move much in 2024. Earnings per share €4.79. The dividend proposal, as Thomas mentioned earlier, is €2.40. That is based on our adjusted net profit, which is calculated with a standard tax rate went up from €117 million in 2023 to €169 million in 2024. And the payout ratio is equal to 53%, which is in line with our dividend policy. Again, cash flow not only in the fourth quarter quite good, but also throughout the year, very strong. Operating cash generation from €151 million to €248 million. Free cash flow improved by 55% or a cash conversion rate of 71%. And if you use adjusted figures, then the cash conversion rate was even up at 88%. We spent about 1.3% of revenue on CapEx. That has not changed in 2024 over 2023. And one key parameter that we introduced is the net trade assets over revenue. We started off in 2023 with 12%. We achieved 10% as a ratio and as you know, our mid-term target should be 8% or less. So we have done quite good work in 2024 to improve that KPI. Net liquidity, obviously follows the cash flow. Nothing special to report about here, nothing that you didn't know already. The drop in the first quarter is related to the repayment of the bond by the end of March. Leverage, net debt over EBITDA came out at 0.54 at the end of December, so well below the 2.00 upper ceiling that we have given ourselves. Capital allocation, no change. I think it's worth mentioning that M&A in 2024 was fully funded by ourselves. The integration has made extremely quick progress will be completed early 2025. We have announced the share buyback, also funded by ourselves, obviously. And by the end of February we had acquired about 0.35% of the outstanding shares. And that's roughly equal to 15% of the share buyback program. Obviously, a very sound financial policy trying to achieve investment grade rating. And we're quite optimistic that this is not too far away, I would say. And with that I leave it to Thomas to talk about guidance 2025.
Thomas Schulz: Thank you very much, Matti. So let us start with the guidance for the segments. You see here, Europe, International, Technology and Reconciliation Group. And the guidance for Europe is actually €3.5 billion to €4 billion. And you have on the left side the '23 and the '24 full year figures to compare that. And you see that we have in the guidance for Europe, an improvement versus 2024, that we have the same in the International as well as the same in the Technology. Regarding the Reconciliation Group, we don't talk about improvement or not improvement. If we then come to the group guidance. Here on the group guidance, in the blue color column, you see what we said before. €5.1 billion to €5.7 billion for the revenue, the 5.2% to 5.8% EBITA and the €210 million to €270 million on the cash flow. When you look from '23, '24, '25 on revenue, on EBITA as well as on the cash flow, you see that we are definitely on a positive, significant progress towards our midterm targets, with the 6% to 7% EBITA, more than 80% cash conversion and we will deliver a 4% to 5% CAGR. So out of that, we see the year '25 as a positive year in front of us, despite the German election which has some slowdown, despite the U.S. election which had some and has some slowdown. That's all priced into that guidance. And we think that the second half of the year 2025 will have more tailwind than we maybe feel at the moment with all the things going on everywhere, but we take it of course, very positive, if we see big investment figures for infrastructure coming not only in North America and in the Middle East, where it's more or less standard in Europe, especially in Germany too. So out of that short summary, more than €5.3 billion on the order intake; more than €5 billion on the revenue; more than 5% EBITA, with that we actually fulfill a promise from 2016. Sorry, it took a while, but now we are there. We have a good cash flow. What makes us very happy is the performance of our organization six quarters in a row to deliver positive cash flow. That is how it should be. We propose a €2.40 as a dividend. We see stable demand, involatile markets. Outlook, set €5.1 billion to €5.7 billion and 5.2% to 5.8% EBITA. And very important, put that please in your calendar Capital Markets Day on the 2nd of December, where we will announce new midterm targets up to the year 2030. With that we would like to give back to Martina.
A - Martina Borger: Thank you very much, Thomas and Matti for the presentation. We are now coming to the Q&A. [Operator Instructions] So I see already a few questions on the phone line. And the first question is from Michael Kuhn from Deutsche Bank. Mike, your line should be open.
Michael Kuhn: Yes, good afternoon. Thanks for taking my question. One on the guidance, and I guess that would be for Mr. Schulz. I heard you talking on Bloomberg about it as well. Quite a broad range, looking at the top line and that's especially driven by segment Europe at the low end, including consolidation effects. It would even be like a small shrinkage. You spoke about, let's say how decisively politicians would act and different economic scenarios. Maybe you could give us a few more details on that and what your view is, how 2025 could play out and how the impact on your company would be?
Thomas Schulz: Yes, the as you know - let me start from the West to the East. At first U.S., we see that tariffs are coming up. That will not hit us because we are not supplying goods between - over the Atlantic Ocean. We supply knowledge and competence actually in both ways, but we see with all the events ongoing, especially in the governmental sector to cut down that a lot of approvals and ordering out of that sector where we have a part of the business like for the U.S. Army and so on are delayed. So if that would go on what we don't think in a very decisive Government of Mr. President Trump, if that would go on, we would end up. That's one part of the scenario to go more lower than the midpoint. Then on the high part, of course opposite. As faster that goes - gets solved it is better. Then we have the Middle East. Actually the Middle East is very much in line with that what we expect. There, we don't see a big variation. It performs good, it performs well. Quite a lot of business opportunities we can capture more. We are getting more in the positioning what we have in the strategy. If we can realize that faster, with the M&A target to what we announced quite often before the same as in U.S. that would give us further tailwind. Then we come to Europe. Europe is the biggest for us. And it is important to see that with the German election, we have to see that the government gets formulated. And what we hear, what we all hear, not only Bilfinger people, the other 83 million Germans too, or people living in Germany. If these big infrastructure investments, no matter if they are 400 billion, 800 billion, 900 billion, if that comes, of course we will have a part of that too. As more gets realized, as more tailwind, as more we go to the upper range of the revenue.
Michael Kuhn: Excellent, thanks for that. One on cash flow and cash conversion. If I look at the guidance range, it's pretty much 80% across range including the €30 million integration and efficiency cash out. So probably close to 90% again as last year in terms of cash conversion. Is that a level that you think you have achieved on a sustainable level? So will we see cash conversion rates around or close to 90% going forward?
Matti Jakel: That would be nice, Michael. We're targeting 80% in our midterm targets. And I think if we can prove that over a number of years, then we have done and would have done very well. The last two years were quite favorable in terms of order intake and order intake with advance payments. They have certainly helped to improve our cash conversion rate. We need to expect that this will normalize over the course of the coming years. Plus also as part of the de-risking, we intend to reduce the share of projects. So I would think with a range of 80% cash conversion rate, we're well suited and that is what we're targeting for.
Michael Kuhn: Understood, thank you. Then the third and last question, on the U.S. market, so you mentioned your - let's say in the very final leg of finishing the last remaining bigger construction like project. So I guess that topic should be done then, including financial risks. Is that assumption right? And secondly, is there anything new you can share out of the investigation around the harbor incident in Georgia? Thanks.
Thomas Schulz: Yes, at first, the easier to answer part regarding Sapelo Island, there is no new news. So there is nothing to report. Then regarding the construction projects, it's one left over what we are working on and finalizing and that's it then. So it takes longer while than we hoped for, but things have to get worked through properly.
Michael Kuhn: And this is all, let's say properly provisioned - and no, let's say financial downside in that project remaining?
Thomas Schulz: Yes, you know what we see, we are conservative people. So we are - yes, we are not short in building up provisions for that what we see coming.
Michael Kuhn: Excellent. Thank you.
Martina Borger: Thank you very much, Michael. And thank you. We have another question on the phone line from Gregor Kuglitsch from UBS. Gregor, your line should be open now.
Gregor Kuglitsch: Hi, good afternoon. So I've got two questions. So just looking at your margins. So basically I think the midpoint, you're talking sort of 30 bps up, right, last year you had 90 bps up. And then if memory serves me right, you kind of want to get into the middle of the corridor, the 6% to 7% next year. So I guess the question is why do you think this year is sort of a moderate margin increase, and next year it accelerates again? Or are you just being conservative? Or maybe I'm wrong on the sort of landing point next year. So that's question one. Question two, coming back to cash flow. I mean, look, I appreciate your ratio is high, but the truth is that number is before leases and before finance expense, right. So we need to take off another, I think €80 million, €90 million or something like that. And you're benefiting from some of the interest income on your cash, which I think is in the cash flow, correct me if I'm wrong. So look, I guess it's. I think it's a definitional point, but I guess the point is, do you think the 80% is ambitious enough, appreciate it is after tax, considering those facts. Thank you.
Thomas Schulz: Yes, I start with the - we are conservative people. That's - I think we can say that. And what we are looking into is a sustainable, profitable growth improvement. We are not believing to show quarters or years significant better for - at any cost. We are not doing that. So when we look into the margin expansion, what we see in front of us this year is a little bit a special year because we have with the U.S. election a big part of the market a little bit in this in a slow activity mood at the moment. And we have of course with Europe, quite a lot of hope that a new German government would more going into activity that than only producing PowerPoint slides. So - and that has a big impact on whole Europe. So out of that it is in our plan to come to the 6% to 7% and we said between '25 and '27. So, regarding how much we go in between 6% to 7%, we have to see how the year 2025 takes off. As I said before, there is a good opportunity if both areas, U.S. as well as Germany, with that Europe is doing the right things and the right timing and execute that we actually can create quite a lot of tailwind throughout the second half of 2025, which maybe then links to a higher level. That's the reason why we guided between 5.2 and 5.8, which is quite a broad range. If it comes to the cash flow, Matti, would you join me?
Matti Jakel: Yes, I think we shouldn't be discussing definitions here, but as I said before on Michael's question, I think 80% is ambitious. If I look at the history of Bilfinger, we've seen very volatile developments of cash flow in the last few years. 2024, first year with four positive cash flow quarters. I think that's a very good achievement and we're building on this one. Plus also as I mentioned, the good order intake with a significant level of advance payments is not something that we can expect year after year. Consequently, I think the 80% for this organization is ambitious, needs to be, needs to be proven, year, after year, after year. If we find that we can do better, we will certainly raise the bar for ourselves.
Gregor Kuglitsch: Thank you. Can I maybe add one more on the sort of German infrastructure point you alluded to it several times now. So your understanding of what they may be considering is what exactly? Obviously you're not in traditional roads, bridges, I guess it would be more energy infrastructure, grids, I don't know, but give us some idea where do you think the Bilfinger Group would participate specifically?
Thomas Schulz: It's an indirect participation predominantly. It would strengthen a good investment, a real investment into infrastructure, not into funny things. In real infrastructure improvement, will improve the competitiveness of Germany for further foreign investments and local investments. And that drives our business too. When you talk what we can do, we are like a barometer. We are like a balance throughout all industries. The possibility to invest is there, the willingness is there, but no one invests into a political, not clear direction. No one invests if you see that infrastructure, labor, and so on are in other parts of the world better. No one invests if you need five times longer to get an approval. And when you have it, you don't know if it works or not. No one invests in an area where energy costs are up to four or five times higher. So if all these things are getting targeted, which is not too difficult to do, then we see quite a lot of investment coming back to Germany or in Germany happen. And that of course we as Bilfinger participate in it. Some will definitely happen because it can't go on as it was.
Gregor Kuglitsch: Thank you.
Martina Borger: Thank you very much. Gregor. [Operator Instructions] We have another question from Craig Abbott from Kepler Cheuvreux on the phone line. Craig, your line is open.
Craig Abbott: Yes, thank you. Good afternoon. Yes, my first question you've kind of already touched on in the previous answers, but I'm going to try to elaborate a little bit more. I was wondering if you could provide us some color on how your order intake both in Europe and in the U.S. bearing in mind these polls as you have addressed has been progressing in Q1, because it sounds to me like this is probably going to be a little bit more of a second half weighted year. And yes, and I guess in the U.S. there would be a pretty acute concern that the temporary effects actually become more structural and long term. I'd like to hear your thoughts there. And then I have - I have one quick follow up. Thank you.
Thomas Schulz: Yes, let us start with U.S. We saw in the last few years quite a lot of foreign investments, especially in the energy related industry into the U.S. It's actually quite a good market for that, supported not only by the IRA, actually supported by fast decision making on the government side, lower energy costs and actually having an easier to do things environment, a motivating environment, not a penalizing. Can that get a hit with high tariffs? Yes, could be, but what we see is that at the moment we have a little bit like a slow time based on the government offices are not really working to 100% performance because a lot of cutting discussions are from Elon Musk into the whole country. So they slowed down, but the demand is there. The things have to be done, the approvals are on the way to get, the companies have the money. So we don't see really a negative in - scenario more than this break phase with election in the United States. Then we go over to U.S. - to Europe. In Europe, it is when we look into the order intake, no matter that the, the main industry which is hit is chemical and mainly chemical industry, we still get orders. It's actually for us a very good business. But the difference what we see is if companies are under pressure and they don't know how the political decision making is on energy cost, infrastructure and so on. If we get an order for 100, after we finalize the order, we cut 100. If we get into the unlocked --- more unlocked situation that more spend comes through, faster decision making, what everyone is now underlying today talked about that too. Then when we get an order for 100, we will end up with 120, 130, 140. And that is on the more positive scenario. What we think can could happen with that what is talked around not only related to the decision making versus Ukraine, infrastructure, energy cost, and so on and so on.
Craig Abbott: Okay, thank you. Yes, and the second question is just an easy one for you, Matti, but how large was the risk provision taken in International in Q4? I'm sure it's probably an Annual Report, but I don't have time to get that far yet. So thank you.
Matti Jakel: Yes, that's a few pages to read, Craig. It's a low single digit million euro number.
Craig Abbott: Okay. All right, thank you.
Martina Borger: Thank you very much, Craig. There are currently no further questions. [Operator Instructions] Seems that there's no more questions coming in. So we conclude this Q&A session. Thank you very much for your participation. Of course, the IR team remains available for any further questions you may have. Thank you very much. And goodbye.
Thomas Schulz: Thank you.